Operator: Good morning. At this I would like to welcome everyone to the Delek first quarter 2010 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) At this time I would like to turn the conference over to our host, Mr. Noel Ryan, Director of Investor Relations and Communications. Sir, you may begin your conference.
Noel Ryan: Good morning and welcome to the Delek US Holdings conference call for the first quarter 2010. Our hosts for today’s call are Uzi Yemin, President and Chief Executive Officer and Mark Cox, Chief Financial Officer of Delek US. Other members of the management team will be available during the question-and-answer portion of the call. As a reminder, this conference call may contain forward-looking statements as the term is defined under the federal securities laws. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in Delek’s filings with the Securities and Exchange Commission and in its first quarter 2010 news release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. Delek undertakes no obligation to publically update any forward-looking statements whether as a result of new information, future events or otherwise. Today’s call is being recorded and will be available for replay beginning today and ending May 20, 2010 by dialing 800-642-1687 with the confirmation ID number 67879923. An online replay may also be accessed for the next 90 days at the company’s website at www.DelekUS.com. During today’s call I will begin with a high level overview of our financial performance in the first quarter 2010. Mark will then follow with the review of our capital spending, liquidity and results from operations within each of three business segments for the period ended March 31, 2010. Uzi will then conclude with a high level outlook as we transition to the second quarter and the remainder of 2010. At the conclusion of these prepared remarks, we will open the call for questions. For the three months ended March 31, 2010 Delek US reported a net loss from continuing operations of $14.1 million or $0.26 per basic share versus a net loss from continuing operations of $1.4 million or $0.03 per basic share in the first quarter 2009. Excluding special items, the company reported an adjusted net loss from continuing operations of $14 million or a loss of $0.26 per basic share in the first quarter 2010 versus an adjusted net loss of $2.4 million or loss of $0.05 per basic share in the first quarter 2009. Business conditions remain challenging during the first quarter particularly within the company’s refining segment. Gulf Coast refining economics were under pressure for most of the period as evidenced by more than 25% decline in the benchmark Gulf Coast 5-3-2 crack spread when compared to the year ago period. In the retail segment the southeastern U.S. experienced unusually cold weather during the first quarter leading to a general decline in miles driven and fuel gallons purchased within the company’s core retail markets during parts of January and February. Despite these headwinds, the company managed to make up ground in several key areas during the first quarter. Within the retail segment, same-store merchandise sales and retail fuel margins both improved from year ago levels during the first quarter while business within our marketing segment showed signs of improvement as well with total sales volumes increasing more than 7% when compared to the first quarter 2009. Before handing the call over to Mark, allow me to provide some color on our operating expenses, depreciation and amortization expense, and interest expense incurred during the period. Total operating expenses were $56.1 million in the first quarter 2010 versus $45.8 in the first quarter 2009. The increase in expenses was almost entirely related to an increase in expenses at the refinery, which was not operational in the first quarter 2009 due to a November 2008 fire. Given that Tyler operated for 90 days in the first quarter of 2010, the refinery incurred utilities, chemicals and other operating expenses not incurred in the first quarter of 2009. Depreciation and amortization expense was $14.5 million in the first quarter 2010 versus $10.2 million in the prior year period. The decrease in D&A is due to the completion of multiple capital projects including a full turnaround during the first five months of 2009 while our refinery was offline. The costs associated with the turnaround projects are depreciated over a four-year period given the turnarounds are generally completed every four years. Finally, interest expense increased from $4.7 million in the first quarter of 2009 to $8.7 million in the first quarter of 2010. This increase is attributable to a number of factors including higher interest rates under our credit facilities, which have been renewed or mended during the last 12 months, a resumption in the use of our refining ABL credit facility to issue letters of credit for crude oil purchases compared to the year ago period when the refinery was not operating and some deferred financing charges which were written off when we extinguished debt. Note that we did not have any significant refinery projects in process during the first quarter 2010. So little capitalization of interest expense occurred in the first quarter of 2010 whereas made a significant capitalization of interest expense last year in the same period. With the brief overview, I will hand the call over to Mark.
Mark Cox: Thank you, Noel and thank you everybody for taking the time to join us on the call today. As always we appreciate your continued interest. I would like to begin my portion of today’s discussion with a discussion of our liquidity position. As of March 31, 2010, Delek US had $40.3 million in cash and $313.5 million in debt, resulting in a net debt position of $273.2 million. As we indicated on our fourth quarter 2009 conference call, Delek US applied taxable losses from 2009 against taxes paid in prior years, resulting in net operating loss carryback. During the month of April, we received a federal tax refund of nearly $40 million. Although Delek US did not receive any business interruption or property damage proceeds during the first quarter, we anticipate additional proceeds in 2010, helping to further bolster our overall liquidity position. Moving on to the capital spending, during the first quarter, our total capital expenditures amounted $9.6 million. 80% of the spending was related to spending at the refinery. More than 75% of our capital spending was in the refining segment was related to regulatory work. Our full year 2010 capital spending projections remain consistent with the guidance we provided on our fourth quarter 2009 conference call. We anticipate our total 2010 capital expenditures will be approximately $59 million. Our 2010 CapEx budget includes the sharp decline in capital spending at the Tyler refinery in comparison to prior years, and we have completed the bulk of the outstanding discretionary and regulatory projects at the facility. Looking now at our business segments, looking first at refining, let me remind you that refining segment financial results for the three months ended March 31, 2010 are not comparable to the same year prior to the fire at the Tyler refinery which kept the facility offline between November 2008 and mid-May 2009. Refining contribution margin was $2.5 million in the first quarter 2010. This compares to $14.6 million in the first quarter of 2009. Refining contribution margin in the first quarter of 2009 benefited from $22.7 million in insurance income, net of expense relating again to the 2008 accident at the refinery whereas no such proceeds were received in the first quarter of this year. The three months ended March 31, 2010, capacity utilization at the Tyler was 81.7%, an improvement from the fourth quarter 2009 level when the refinery ran at 76.6%. Although Gulf Coast refining economics improved during the first quarter from the dismal levels we experienced in the fourth quarter of last year, the 5-3-2 Gulf Coast crack spread reported in the first quarter of 2010 still declined more than 25% when compared to the prior year period due principally to a significantly weaker distillate crack. However, beginning in March, refining economics began to improve support by a strengthening gasoline crack. Entering the summer driving season, we have begun to see increased demand for product both in Tyler and in our West Texas market. Given these conditions, we have recently begun to increase utilization at Tyler in response to corresponding demand trends. As was the case for most of 2009, the price of crude oil continued to move upward during the first quarter, averaging more than $80 per barrel in March. Between the first quarter 2009 and the first quarter of this year, the price of WTI increased more than 80%. Unfortunately refined product prices failed to keep pace with the price accrued at certain points throughout the first quarter and this led to generally weaker refined product margins in the period. Refining margin in the first quarter 2010 adding back inter-company marketing fees of $0.53 per barrel, was $6.24 per barrel sold. During the first quarter, Tyler’s realized margin benefited from the increased sales of specialized high value fuels and live products. Tyler’s capture rate that we define as the refinery margin excluding inter-company marketing fees divided by the benchmark 5-3-2 Gulf Coast crack spread was greater than 94% in the first quarter. The market structure for WTI crude remained in contango during the first quarter of this year much as it had all of last year. WTI’s contango averaged $1.02 in the first quarter of 2010 and this compares to $4.54 in the first quarter of last year. Should the contango widen, Tyler’s refining margin will benefit given that we have purchased and process mostly domestic crudes such as WTI. Moving now to the marketing segment, marketing segment contribution margin increased to $5.8 million in the fourth quarter of this year compared to $5 million in the first quarter of last year. Inventory levels remained at normalized levels during the first quarter while wholesale prices in West Texas moved closer to parity leading to more rationale pricing in the period. First quarter marketing segment contribution margin favorably impacted by fees earned from the segments, crude and logistics operations. The marketing segment generated gross proceeds of $2.3 million through its crude and logistics operations during the first quarter of this year. No such fees were earnings in the first quarter of 2009. Total sales volumes within the marketing segment increased 7.2% to 14,298 barrels per day in the first quarter of this year and that compares to 13,342 barrels per day in the prior year period. Direct operating expense per barrel increased from $0.14 in the first quarter 2009 to $0.65 in the first quarter of this year. The increase in marketing expense was primarily attributable to costs associated with the segment’s crude oil logistic operations. Finally looking at our retail segment, retail segment contribution margin increased to $7.4 million in the first quarter of this year versus $7.3 million in the first quarter last year. Severe winter weather throughout the south eastern U.S. reduced the total miles driven in the region during the first quarter of this year, which adversely impacted our same-store fuel sales in the period. However our retail fuel margin increased in the first quarter of this year compared to the same period last year. Same-store merchandise sales increased for the third consecutive quarter in spite of the cold weather, as recent marketing and merchandising initiatives have gained momentum particularly at our reimaged locations. Same-store fuel volume sold declined 0.3% in the first quarter of this year compared to 2.2% same-store sales decline last year. Same-store merchandise sales increased 1.2% in the first quarter of 2010 versus 4.4% decline in the prior year period. Increased gains with our fresh grab and go food business combined with higher sales of snacks, candy and cigarettes contributed to sales growth in the period particularly at our reimaged MAPCO locations. Throughout the past year, the reimaged locations have significantly outperformed the legacy store base on a number of operating metrics including same-store sales of fuel and merchandise. To that end, for the three months ended March 31, 2010, same-store fuel gallons sold in the 59 reimaged stores opened more than one year increased 0.6% versus a same store decrease of 0.3% for the entire network during the same three month period. Similarly same-store merchandise sales for the reimaged stores increased an impressive 8.9% in the period ended March 31, 2010 compared to an increase of 1.2% for the entire 434 stores opened in the same three-month period last year. As we continue to roll out more quick service restaurant and private label products, we believe our reimaged locations are well positioned to continue to generate food and merchandise sales at levels that outpace the legacy store base. As of March 31, approximately 15% of our store locations include QSR restaurant formats that include brands such as Quiznos, Subway and Blimpies. We intend to grow our food service business through the addition of more QSRs including the introduction of six new Quiznos locations during the second quarter. With that, I will hand the call over to Uzi for some concluding remarks on our strategic outlook.
Uzi Yemin: Thanks, Mark. Entering the second quarter, business conditions have improved in each of our business segments. Both customer and commercial demand appear to have increased during March and April as evidenced by a recent pickup in the demand for a wide range of refined products in our retail and marketing segments. In Tyler, we recently increased capacity utilization above first quarter levels to meet seasonal demand ahead of the summer driving seasons. As many of you are aware, the second and third quarter are historically representing our seasonally strongest quarter for the year. With this in mind, we will seek to optimize our asset base to take advantage of original demand trends as they develop. Although our industry may not have completely turned the corner from a demand perspective, we are cautiously optimistic that our business and the border economy is improving as we head into the summer month. This concludes our prepared remarks. Will you please open the call for questions?
Operator: (Operator Instructions) Your first question comes from the line of Ben Brownlow with Morgan Keegan.
Ben Brownlow – Morgan Keegan: Starting with MAPCO, can you just talk about some of the volume declines you have seen in cigarettes and detail out, I guess, the margin compression on merchandise that you saw between cigarettes and dairy there?
Uzi Yemin: Well, I guess the one thing – let’s divide your answer to two parts. The first one is decline in cigarettes. Even though we continue to see decline in cigarettes, we compensate, we were managing to compensate and we still compensate with higher margin product. So overall the same-store sales are not declining. If anything, we have a very good trend especially in light of the fact the second quarter started with much better weather and we see great results that compensate the decline in cigarette. Second in regard to the dairy, dairy is a category that changing dramatically, we are putting a lot of pressure in that category to put or to initiate several private label SKUs. So as we going toward the summer, we expect dairy to exceed and compensate what we saw in the first quarter.
Ben Brownlow – Morgan Keegan: And for the quarter, was it kind of an even split from the merchandise margin decline between dairy and cigarettes?
Uzi Yemin: Well, I don’t the number off the top of my head. Do you remember them now?
Noel Ryan: Last quarter we didn’t outline the margin impact, but I think you can see beginning in the second quarter and in the first quarter and the past couple of quarters frankly, you can begin to see that there is a merchandise margin degradation as a result of gross margin compression at it pertains to cigarette.
Ben Brownlow – Morgan Keegan: On the volume declines –
Uzi Yemin: Let me add one more thing, if you don’t mind. If you remember the April 1 last year was the ex-tax and that created a rush into the stores during the month of March. Obviously we didn’t see that this year. That’s the flip side of what happened to us last year.
Ben Brownlow – Morgan Keegan: And just are you seeing any kind of impact with the flooding in Nashville recently?
Uzi Yemin: Well, nothing that is significant to us. We have one store that we was impacted by this event. All the others, we do have leak here, leak there, we lost some inventory. Obviously we carry a very good insurance but nothing that is major.
Ben Brownlow – Morgan Keegan: Just one last question for me. There were some early comments on depreciation. I’m just trying to get a sense of what depreciation is going forward, is kind of $15 million a quarter a good proxy to use?
Mark Cox: Yes, that’s in the ballpark, yes.
Operator: Your next question comes from line of Christina Cheng with Barclays Capital.
Christina Cheng – Barclays Capital: Do you have any guidance on BI proceeds going forward?
Uzi Yemin: Mark, you can take it if you want.
Mark Cox: No, unfortunately, historically we have not given any guidance on insurance recoveries and we will continue that practice. So we are not providing any guidance at this time. We are continuing to work with the insurers. And I think as we have said on a number of occasions, we do anticipate additional proceeds this year, but we can’t provide any guidance as far as what the numbers could be.
Uzi Yemin: We will just repeat what we said in the call last year. That amount, we expect this amount to be substantial. I will leave it to that.
Christina Cheng – Barclays Capital: What is the inventory market value over book?
Uzi Yemin: The market value of inventory in excess of book was $25.6 million at quarter end.
Christina Cheng – Barclays Capital: Okay, and one more. So far in the second quarter, what is the CMA benefit you are seeing? I think you had mentioned in the first quarter it was $1.02.
Uzi Yemin: Again, you can take it off the screen. I just looked at it few minutes ago, it’s in excess of $3 as of to date.
Mark Cox: For June.
Uzi Yemin: For the month of June, of course. I am giving you a snapshot of today but yon take it off the screen of course. And maybe if you can get the information, we will be happy to provide you with that information, this public information.
Operator: Your next question comes from the line of Eric Walania with William Blair.
Eric Walania – William Blair: My first question is regarding the retail side. Historically, the merchandise margin in the first quarter has been 100, 200 basis points better than the fourth quarter margin. And I’m assuming there’s some seasonality probably that explains that. However, in this particular quarter, there was only a 20 basis point improvement quarter over quarter. So the lack of, I guess, a directional improvement from fourth quarter to the first quarter, is all that explained by the dairy or is there also some other issues as well?
Uzi Yemin: Well, fourth quarter last year, I am going by memory and we can provide you with the information, I think there was onetime settlements with a vendors that gave us I think one point. And again, I am going by memory. We can give you that information specifically. You are right, and the 150 to 200 basis points between – call it the second quarter more than the first quarter, and the fourth quarter, the normalized fourth quarter, we still expect that number to be 150 and 200 basis points. So we are trending the some historical numbers.
Eric Walania – William Blair: And then speaking on the retail for a second, you mentioned miles driven were down. Do you have a firm number you can give us in your markets? Because your flat comps or approximately flat comps seem to suggest that you did better than what the miles driven would have led you to believe? Can you maybe comment a little bit on that?
Noel Ryan: Well, certainly. I think the VMT number that’s put out by the Department of Transportation is a not perfect reflection of our markets. What they define the southeastern United States is not our southeastern United States. Certainly there is some overlap. And it’s sort of like the 5-3-2 for crude, it’s a benchmark, okay. It’s a benchmark for refining, it’s a benchmark for retail. So basically what we are looking at is we were 0.3%, I think the VMT number was higher than that. But all of our stores are not located in the geography that they outline within their analysis.
Assi Ginzburg: There is only one thing to notice. At this levels of crude oil prices, we are looking at $7, $8 an average. There is an huge economics to blend ethanol. As you know, we look the ethanol spreads ahead of time and we usually have the ability to be attractive with pricing. So I think toward the first quarter, we are probably able not only to achieve better fuel margin but also bring our customers that drove maybe less in the area to our stores. So you may say that we may grow some market shares in our area due to our ethanol program that was significant in Q1 and it’s going to be also very good in Q2. As you can see, pries are still at the $80. If you compare to last year, the crude prices were $40, there was no economics around blending ethanol. So when you look at the ethanol right now and as long as crude prices are at this level, I am sure we can be able to continue and make good (compare) to comp.
Eric Walania – William Blair: Just a couple quick more questions here. Switching to refining very quickly. A couple years ago when we had talked about some of the investments that were going to be made, and part of the justification for the capital spend was to capture some of that spread between sweet and sour prices. That gap has come in quite a bit over the last couple of years. I was hoping maybe you can maybe give us a little indication of where you think that spread can be, or is this the new normal, I guess, for that type of sweet sour spread? Because it is below than what it was a couple years ago when you committed the capital.
Fred Green: This is Fred. I don’t think that what we are seeing here is necessarily a new normal. We seen periods where that spread will widen in the short term, then come back. I think as long as we continue to see a big disparity between the WTI’s price and the Mars price, that spread will continue to be under pressure. And I think a lot of this just related to the strong contango and basically a depression in the WTI price. So the sour is probably reasonably priced but the WTI is cheap and so the spread is more narrow.
Uzi Yemin: One thing for everybody to remember and you can see it in our press release, our light product sales are in the excess of 94%. In the past it used to be 92%. Now I don’t know that this is a trend we will need to keep looking at it but that’s basically what we can extract out of the crude oil and take it in light product that are much more profitable than the other product. So far what we have seen in the second quarter is that this trend is not bad. And if you recall two, three years ago, it used to be 92%, now it’s 94%.
Eric Walania – William Blair: My last question is, and I have to warn you ahead of time you may not like it too much. But given the announcement by one of your major retail competitors recently, if I banged on my calculator correctly, it looks like your book value is about $9.55 and the stock today is trading 30% below that. So maybe you can comment a little bit on what the risk of a potential write-down, if any? And if not, why not?
Uzi Yemin: Well, every year by the end of the year – Mark, if you want to comment on that, I encourage you to do that. But every year during the fourth quarter we do an impairment calculation. We came out of the fourth quarter and we wrote down I think goodwill of $7.2 million, I am going by memory, but it’s around that number. And at this point we don’t see immediate need to write down or write off anything.
Mark Cox: To add on to just what Uzi just said, I mean we went through a evaluation as far as the fourth quarter process, we are looking at all segments of our business and we determine that there is no need for a write-down. I don’t think this phenomena you are discussing is not – we are not the only that is experiencing it, everybody in the industry is experiencing it. Given people bought assets over the last several years, different valuations and what values are in the market today, I think if you were in the same calculation on a number of our peers, you would probably come up with similar results if not even worse results. So this was not particular just to us.
Operator: Your next question comes from the line of Richard Roberts with Howard Weil.
Richard Roberts – Howard Weil: Good afternoon, guys. Actually all my questions have been answered. Thanks.
Operator: (Operator Instructions) And your next question comes from the line of Guy Barbara [ph] with Simmons, Incorporated.
Guy Barber – Simmons, Incorporated: I just wanted to follow up with you guys just about the contango in the front of crude curve. Obviously, right now with cushing storage looking like it’s close to max capacity. And with inventories at max levels, I just wanted you all to talk a little bit about kind of what was driving that contango in the front of the crude curve and kind of what your expectations are just looking forward as to how that situation is going to play out, is that the big benefit to you all?
Uzi Yemin: Well, first of all as you probably understand, we are cheering for that. So from a benefits standpoint, the benefit obviously is obvious. In terms of longer term, we don’t believe that the contango can – sustainable I guess six months from now. However if you recall the last time it happened during the first quarter of last year, Q1 ‘09, the contango got to a major contango if you will and we (inaudible) $10, $12, and $14. Do we expect this to happen? I don’t know. It’s a financial play, we think it by day and we enjoy that as long as we can.
Operator: And there are no further questions at this time.
Uzi Yemin: On the final note as Ben mentioned earlier, since he lives here in Tennessee, the middle Tennessee region where we are headquartered was victim to us, severe rains, tornado and flooding of historic proportions this last weekend. On behalf of our management, of course, Mark, Fred, Assi, Noel and myself, I want to extend our deepest sympathies to those affected by those storms. In the weeks and months ahead, the Delek US management remains committed to helping its friends, neighbors and colleagues (inaudible) on the (path of) recovery and renewal in the time of need. We as a company stand behind our employees and customers and we will continue to do that. That concludes our conference call today. We look forward to speaking with you during the second quarter 2010 conference call.
Operator: This does conclude today’s conference call. You may now disconnect.
You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!